Operator: Good afternoon, everyone, and welcome to the LightPath Technologies Fiscal First Quarter 2024 Financial Results Conference Call. Please note that, today's event is being recorded. And at this time, I'd like to turn the floor over to Al Miranda, LightPath's Chief Financial Officer. Please go ahead, Al.
Al Miranda: Thank you. Good afternoon, everyone. Before we get started, I'd like to remind you that during the course of this conference call, the company will be making a number of forward-looking statements that are based on current expectations, involve various risks and uncertainties as discussed in its periodic SEC filings. Although, the company believes that the assumptions underlying these statements are reasonable, any of them can be proven to be inaccurate, and there can be no assurances that the projected results would be realized. In addition, references may be made to certain financial measures that are not in accordance with generally accepted accounting principles or GAAP. We refer to these as non-GAAP financial measures. Please refer to our SEC reports and certain of our press releases, which include reconciliations of non-GAAP financial measures. Sam will begin today's call with an overview of the business and recent developments for the company. I will then review financial results for the quarter. Following our prepared remarks, there will be a formal question-and-answer session.  I would now like to turn the conference over to Sam Rubin, LightPath's President and Chief Executive Officer.
Sam Rubin: Thank you, Al. Good afternoon to everyone, and welcome to LightPath Technologies' Fiscal First Quarter 2024 Financial Results Conference Call. Our financial results press release was issued after the market closed today and posted on our corporate website.  The first quarter was highlighted by our acquisition of Visimid and with it the win of a significant project for an imaging engineered solution. Both are significant steps in our strategic shift from a component manufacturer to a value-added solutions provider. To recap our investors, LightPath has been transitioning in the last few years from a pure component manufacturer focused on being the lowest cost provider to a value-added partner for complete solutions based on optical technologies, who differentiate us on mostly based on technology. A long-term lines we have been focusing on three pillars of growth: Imaging Solutions as a strategic shift, such as cameras, growth in new markets such as automotive and specifically growth in our market share of the defense business. All three pillars of growth tie into and support our transition from a components manufacturer to a provider of engineered solutions based on these proprietary technologies. This transition began a couple of years ago, starting from customized lens assemblies, which are what we call today LightPath 2.0 through camera solutions or LightPath 3.0. The first of which was our innovative mounted sport band infrared camera, which we announced in December and which enables new applications and capabilities for our customers. The latest step in this transition is acquisition of Visimid Technologies. Visimid Technology is a small engineering firm based out of Dallas, Texas, does the back end of thermal cameras. and does what Lightpath has been doing for the front end of those same cameras. Lightpath has been tailoring and customizing the optics for cameras based on our optical technologies and Visimid has been customizing and tailoring the video processing engine and support electronics for the same cameras or similar cameras. The light LightPath base business model of customizing optical assemblies to be used in inferred cameras, LightPath has established itself as a go-to for customized -- customizing the electronics and software part of uncalled infrared cameras. In fact, our relationship goes back a bit, where Visimid has customized four LightPath electronics and software for our MANTIS camera prior to the acquisition. Together with Visimid, LightPath can now extend our offering of Customized Imaging Solutions to include wholly Integrated Camera Modules, increasing the offering to existing customers and providing us a bigger share of those customers' bill of materials. Shortly after the acquisition of Visimid, Lockheed Martin, a major prime contractor in the defense world, awarded Visimid and LightPath, a major project for the design, development and later on manufacturing of a complete camera module for a new project in the Missiles Division. With the award came what will be up to $7.5 million of development work over the next three years. However, the real significance of this award lies in what will come after the development completed. Once in production, we will producing this device in volume estimated at tens of thousands of units over the program lifetime and with an ASP for LightPath of thousands of dollars per unit. And I will let that sink in second, thousands of dollars per unit, tens of thousands of units in the program. This is a major achievement for LightPath and Visimid and can be very, very significant for our future. The decision of this time to outsource the development of such an important part of their system has been the first purely due to Visimid's technical capabilities.  However, their decision to then engage with us at the scale they are now engaging and the potential manufacturing of these units in volume is really due to the combination of LightPath and Visimid, bringing our manufacturing capabilities, capacities and most importantly, ability to produce and integrate the entire subsystem. And while our strategy and having three pillars of growth are designed such that we don't put all our eggs in one basket or one product, this award by a major time with this massive potential for revenue on the manufacturing side is seen by us as a big win to our strategy and the execution of that through the acquisition of Visimid. So this was one significant development that touches on two of our pillars of growth, The Defense Industry and The Integrated Engineered Solutions. In other areas, we continue to make progress some at better pace, others less. In the automotive market, we continue to work with new potential customers for the integration of thermal imaging into safety systems and specifically emergency braking systems. Though we have not had any significant development in the area since our last call two months ago, we do note, that some of the time lines of our end customers, meaning automotive companies themselves, might be impacted by what seems like a possible slowdown in the EV market. Though we do not have anything specific to report on this, we do expect that some of the rollout might get delayed by a year or more with some of those customers as they adjust to their own rollout of new modules and the start date of both of these new systems. During the last two months since our September call, we have continued to make progress on some of the new offerings in our camera or solutions aerial growth. Applications for our Mantis camera continue to garner interest, and we are actively engaged with several customers on developing versions specific to their use cases. For example, in industrial monitoring of high-temperature processes and more. Our innovative use case of flame detection using our Mantis, which I mentioned in the last call, is now being actively evaluated by customers with the goal of first proving the value proposition of this technology before we dive into building specific tailored solutions for their exact used case. Last, the plastic recycling applications we had previously discussed is taking longer than expected due to the complexity of the integration of what is called technically a hyper-spectral system. We still expect this to be a valuable application, but developing it would require a partner that will do the heavy lifting on the software development side. The first pillar of growth is the defense market and specifically around our unique black diamond materials and their use as an alternative to germanium. This is on track as we continue to move forward with qualifying our new materials and having them integrated into DoD projects. Noted in this area is the renewal of an order we announced in the beginning of October. That $3.4 million order is one of the first projects we know of, in which germanium was designed out purposely. Similar to that, we have other projects in which systems are being redesigned to reduce or completely remove germanium. In some cases, we are involved or even do the actual redesign work. In other cases, we know of customers working on this and are collaborating with them to expedite it as much as possible. On that same topic, we note that while the exports of germanium have finally resumed out of China, the process to receive export license in China is cumbersome, and also seems to vary considerably between different vendors and different export ports in China. With that in mind, we have decided to try and to reduce our own exposure a bit by reducing our own work on components made of germanium for customers. As a reminder, among other things, we produced customer components in which we optically machine or form lenses out of germanium. We have already communicated the customers proactively that we will be reducing our offering of components made from germanium, and we continue to work with those same customers at designing and developing alternatives made of our raw materials. We expect that this might have a short-term impact on our infrared component revenue as we discontinued some germanium work and gradually replace it with new work. However, our defense revenue continues to grow, particularly in the US, but non-defense revenue continues to be soft in China and somewhat softening in Europe. It is further exaggerated by the germanium supply and decisions around that. We are seeing slowdowns and delays in non-defense sector globally and anticipate continued softness for the next few quarters in those segments specifically. World event and economics play out -- laying out confirms our decision to focus on defense and on solutions and assemblies. To conclude, our shift in strategic direction is beginning to show the results we're looking for, both in winning some major programs and in revenue growth in that area. Al will talk about our new product classification and how we will now communicate the new product grouping to support the strategy. At the same time, our three separate areas of growth, solution, defense and automotive continue to generate multiple independent large-scale opportunities that many of them have the potential for tens of millions of dollars of new revenue resulting in what we feel is a healthy pipeline of large-scale opportunities that any of them alone can be transformative and have a significant positive impact on our business. As always, I'd like to thank our employees and stakeholders who have continued to work diligently through the various transitions and hurdles we have endured. We see a bright future and a growing company because of their dedication, patience and hard work. With that in mind, I will now pass the call on to Al, our CFO, to review first quarter financial results. Albert?
Al Miranda: Thank you, Sam. I'd like to remind everyone that much of the information we're discussing during this call is also included in our press release issued earlier today and will be included in the 10-Q for the period. I encourage you to visit our website in lightpath.com to access these documents. I'll discuss some of the primary financial performance metrics and provide additional color on them to better assist investors in analyzing the company. For the first quarter, we've made significant changes to our product groups. We previously organized our products in three groups, which were precision molded optics, or PMO, infrared products and specialty products. We've been considering changing revenue reporting along the new product lines for some time to align with our strategy. With the addition of Visimid in July, it became clear that the timing was right to make the change. We believe the new revenue groupings lend more visibility on our progress against our strategic goals. Therefore, we reorganized our products into four product groups. One is infrared components, two, visible components; three, assemblies and modules and four, engineering services. Assemblies and modules were previously included in PMO infrared or specialty product groups, depending on the lens type. We basically carved it out. So you can think of the new reporting as components being LightPath 1.0, assemblies and modules as LightPath 2.0 and 3.0 and engineering services as the activity that will create new revenue in assemblies and modules. With that said, on a consolidated basis, revenues for first quarter were $8.1 million, compared to $7.4 million in the year ago period. Sales of infrared components were $3.8 million or 47% of the company's consolidated revenue fiscal first quarter. Revenue from visible components was $2.7 million or 33% of consolidated revenue. Revenue from assemblies and modules were $1.3 million or 16% of total company revenue and revenue from engineering services was $0.3 million or 4% of total company revenue. The increase in infrared component sales was primarily due to an increase in shipments against an annual contract of international military program. This contract was renewed during the first quarter of fiscal 2024 for a higher dollar value than the previous contract. The decrease in revenue generated by visible components is primarily due to a decrease in sales to customers in the telecommunication industry in China. Approximately one-third of the increase from assemblies and modules is due to the addition of Visimid product sales. The remaining increase is driven by sales to customers in the defense industry and increased sales of a custom visible lens assembly to a medical customer for which we have an end-of-life order and backlog going into fiscal 2025. Approximately $175,000 of the increase from engineering services is due to the addition of Visimid sales. The remaining increase is driven by revenue from one of our space-related funded research contracts.  Gross margin in the first quarter of fiscal 2024 was approximately $2.3 million, an increase of 4% as compared to approximately $2.2 million in the same period of the prior fiscal year. Total cost of sales was approximately $5.7 million for the first quarter of fiscal 2024 compared to approximately $5.1 million for the same period of the prior fiscal year. Gross margin as a percentage of revenue was 29% for the first quarter of fiscal 2024 compared to 30% for the same period of the prior fiscal year. The decrease in gross margin as a percentage of revenue is due to the decrease in visible component sales, which typically have higher margins than our infrared component product group, which comprised a greater portion of our sales for the first quarter of fiscal 2024. Selling, general and administrative costs were approximately $2.7 million for the first quarter of fiscal 2024 and an increase of approximately $23,000 or 1% as compared to approximately $2.6 million in the same period of the prior fiscal year. The increase in SG&A cost is primarily due to cost of approximately $83,000 associated with the acquisition of Visimid, which closed in July of 2023. These costs were partially offset by a decrease in stock compensation. Net loss for the first quarter of fiscal 2024 was approximately $1.3 million or $0.04 basic and diluted loss per share compared to $1.4 million, or $0.05 basic and diluted loss per share for the same quarter of the prior fiscal year. Decrease in net loss of approximately $38,000 for the first quarter of fiscal 2024 as compared to the same period of the prior fiscal year is primarily attributable to favorable change in the provision for income taxes. We believe EBITDA, a non-GAAP financial measure is helpful for investors. EBITDA loss for the quarter ended September 30, 2023, was approximately $432,000 compared to $392,000 for the same period of the prior fiscal year. The decrease in EBITDA in the first quarter of fiscal 2024 was primarily attributable to other income and expenses, non-operating expenses. As of September 30, 2023, we had working capital of approximately $11.4 million and total cash, cash equivalents and restricted cash of approximately $6.9 million, of which greater than 25% was held by our foreign subsidiaries. Cash provided by operations was approximately $1.1 million for the first quarter of fiscal 2024 compared to cash used in operations of approximately $415,000 for the same period of the prior fiscal year. Cash provided by operations for the first quarter of fiscal 2024 was largely driven by decrease in accounts receivable as sales were higher in the fourth quarter of fiscal 2023 than in the first quarter of fiscal 2024. Comparatively, cash used in operations in the first quarter of fiscal 2023 and reflected a decrease in accounts payable and accrued liabilities during such period resulting from the payment of certain expenses related to previously disclosed events that occurred in our Chinese subsidiaries, which had been accrued in prior periods. Total backlog as of September 30, 2023, was approximately $21.3 million, a decrease of 7% as compared to $23 million as of September 30, 2022, compared to the end of fiscal 2023, our total backlog decreased by 2% during the first quarter of fiscal 2024. The decrease in backlog during the first three months of fiscal 2024 is primarily due to shipments against several annual and multiyear contract renewals and which orders were added to the backlog in prior periods. With this review of our financial highlights and recent developments concluded, I'll now turn the call over to the operator to begin the question-and-answer session.
Operator: [Operator Instructions] Our first question today comes from Glenn Mattson from Ladenburg Thalmann. Please go ahead with your question.
Glenn Mattson: Hi. Yes. Thanks for taking the question. So I'm curious, Sam, you talked about automotive and the possibility that the order that you've talked about in the past could get pushed out due to some slowdown in the production schedules for some of the Detroit guys EV lines. But did you -- so two things. First of all, do you think that the delay up to this point, was it at all related to some early hesitation by those customers in terms of like what -- how the fast they’re going to move forward or anything like that or it seems like things did change abruptly in Detroit for the EV models in general. So, curious about that. But then I guess, furthermore, do you have like some hard discussions that you've had with people or just from what you're reading in the news and that kind of thing leads you to believe that there'll be potentially a slower uptake.
Sam Rubin: Yes. Sure, absolutely. First of all, I'll start by just framing this in saying that in the situation or in the use case of adding a new technology like thermal imaging into a cars, the car manufacturers that we work with are all tending to add this into the EV line, simply because those of the new models, new platforms, sometimes new architecture altogether. It doesn't mean that they would not roll it out in the internal combustion engine cars. It also depends, I think, on where DOT is going to go with the proposed rule of mandating some of it. But as of now, what we've been working on all tend to be around the EV platforms, even though are with larger car manufacturers that are -- that produce far, far more than just EV. So, that's one part. Then to answer the question, I think the -- a few different things that play into the delays. To begin with the initial delay compared to where we were nearly a year ago where we thought we're going to get the supply agreement almost any day, that came from the almost opposite direction that came from the car manufacturer that decided to rolled this out instead of in one car model in five car models. And therefore, all the timeline got shuffled around because we were suddenly talking about much larger volumes, but scaling more quickly than we were before. So, we went back to the drawing board. We had to redesign actually something in the mechanics of the modules to fit those other car modules and therefore, started renegotiating everything. At some point, already after that delays, I'd say, were more because of us not moving fast enough on the negotiation of supply agreement, coming from a point that we wanted to understand exactly all the parameters. And since automotive is new for us in that level, we wanted to be sure with crossing all the Ts and dotting all the Is properly. In retro respective, seeing maybe that the car company was not pushing aggressively on us, at that point in time, maybe would have been already a bit of an indication that there might be further delays. That said, what I'm reporting or sharing now are from direct conversations of myself with the customers. So, this is -- we know exactly where the car company is. We know exactly what the situation is. We know that the car company has been, I'd say, finding challenges in integration of some of the technologies together. There isn't -- they didn't have any technical problem with the system, definitely not with ours. But some of the other elements tend to seem to have complicated things. And they decided, as of now to try and review what they're rolling out in terms of features went. We don't have a specific data or delay, but in most likelihood, we're looking at one-year pushout of the start date of rollout, simply because of the car companies, I'd say, challenges around their system architecture and integrating multiple things together.
Glenn Mattson: And can you give any further color on what gives you confidence that once this starts back up or the conversation begins again, that they'll be able to clear those hurdles?
Sam Rubin: Nothing. Yes -- I mean nothing changed in the form of the -- there weren't -- at any point, there were no discussions or comments made in the form of we're not sure if we'll even include this anymore or anything like that, not at all. And so technical dialogue continues. And we have other automotive customers with which we also have technical dialogues, and we have also new designs that we're building as we speak, actually, for one specific automotive customer. But the sense is that everyone is a little bit lower in terms of pushing on the date and so on. And then my own interpretation from seeing and reading and getting survived from people that I talk to in the industry, and then customers is as part of it is due to the EV sort of, I don't know, direction of diorite.
Glenn Mattson: Okay. Thanks for the color there. And just one -- the second one on the other kind of issue that you raised on the germanium side. Is that it's a little cumbersome to get through the process of a whatever. Can you -- is that -- so is it a little trickier to get germanium? Is that driving the process? Or is it more just that you potentially being a probe on the road? And so you're trying to get ahead of it.
Sam Rubin: Well, no, first of all, it's tricky to get mail. And while we have not had to push out deliveries of anything because luckily enough, we had enough inventory work in program and managed to eventually get shipment from germanium this week, actually, I think the last week in the first time. What we're seeing on doesn't give us the confidence that supply is necessarily going to be smooth now. I mean I'll give you a few examples. One is we started applying for export licenses in July when they announced it, even though it wasn't supposed to go into effect in until August, but they still stopped all shipments in July already. We're now mid-November and only now did we receive first shipments. When we first applied for licenses, we were told that every license is good for a year. Then we were told that every license is per order. So if you have an order for year, it will be for you. Now the last shipment, the vendor of ours in Southern China, I think I can remember which one is which, but one vendor in South, one is in the north, one vendor managed to ship and keep the license open. Another vendor was sold by custom that she gets on shipment from this license, and that's it. So I think they don't know yet what exactly they're doing and where -- we're also hearing about customs stopping compounds sometimes, which are definitely not the more material, but if something includes germanium in it, they've been also stopping at some point. So I think knowing China and how long it takes until they figure out and what, I want to reduce their way exposure there. I also want to free up capacity for the work that is happening on converting customers over disorder material. I don't want to reach the point that a customer wants to now switch over to an assembly made of ZBV and my capacity is all tied up into machining, Timon turn in to me because that's the orders they have at that point. So we are proactively reducing that, even to the extent of canceling some of parts of an order we have with the customer. And we'll be cautious now on how much gomanium we take on.
Glenn Mattson: That's great color. And then just a follow-up on that. And then last one for me. Just the -- so is that level of germanium that you've received? Or is there -- can you give us -- is there like a magnitude of impact that you would expect revenue this year based on this shift that you're...
Sam Rubin: I think as of now, we're looking at $1 million to $1.5 million of -- in the next two quarters, maybe I think that we can something like that?
Al Miranda: 1.3
Sam Rubin: 1.3, right so 1.3. But we also -- if you remember, December -- November, December is usually the time of annual renewal for two of our largest customers for infrared components and one of them is very heavy on germanium. So even though what we did so far is only for the short-term impact there, we're probably not going to reduce that contract to the level it was before, at least some in germanium. I do want to note that our two largest germanium customers are working with us very actively at designing and testing alternatives made of BD6 or our Black Diamond altogether. So we wouldn't do this if we wouldn't feel like a real potential very, very soon to fill the tank capacity upwards better work. And so I think it goes hand-in-hand, but it's sort of sometimes it's sort of a bandage you have to rip and start working on it.
Glenn Mattson: Okay. Thanks for the color.
Sam Rubin: Absolutely. Thank you.
Operator: [Operator Instructions] Our next question comes from Brian Kinstlinger from Alliance Global Partners. Please go ahead with your question.
Unidentified Analyst: Hi, there. This is Shervin on for Brian. Congrats on a solid quarter. Let me just hop right in here. So I know that backlog can be lumpy given the timing of multiyear contract renewals isn't always consistent. Now with Visimid opening your addressable markets, even more commercial applications, when can we expect to get more consistent growth in the backlog specifically? And do you see it coming from a specific product?
Sam Rubin: Yes, I definitely think that the Visimid thought and sort of the higher ASPs that come both from Visimid and overall, our transition into more engineered solutions could mean two things, really. So in terms of the backlog, one is, again, larger chunks being added in at the time because the ASPs were higher, but it could also accelerate our growth on the top line, again also because the ASPs are much higher. So booking an order for 100 Mantis cameras at $7,000 each would have a big chunk to the backlog, even though by volume, it's nowhere near an order of 100,000 lenses, for example. So I think we're going to start seeing more and more so. I think that the new reporting group structures that I'll present it and that we're starting to work with will help give much more visibility into that
Al Miranda: Yes. The one thing I would add is Visimid prior to acquisition wasn't really geared towards sort of the long-term contracts with customers. It kind of wasn't their focus, a smaller company, the owner sort of relied on relationship and handshakes that things would come through. And they did. It worked. But technically, that's not a backlog. A couple of e-mails and a promise is not backlog. So we're going to -- we're sort of transitioning the customers, which are large customers and a customer doing it. They just had not been it. Going forward, we're going to get longer-term orders or 12-month orders or what have you. We'll start seeing that in Q2 coming from Visimid, the first of which would be the Lockheed contract that Sam mentioned.
Unidentified Analyst: Great. Transitioning into Lockheed, maybe you could detail would you guys expect the potential time line would be like? Like how long is the design period and what comes next? And how many companies are you competing with, if any? And what are the risks and catalysts to reaching those tens of thousands of units at 10 that you guys were talking about?
Sam Rubin: Sure, absolutely. So first of all, the initial proof of concept was done already and delivered by Visimid prior acquisition. So this is a project we sort of knew was already in the works. We kind of monitored it from afar. But it's been something that Jason and the team at Visimid has been working on for a long time. On developing the core technology behind it, which is very, very unique. From this point, I think we have now about three years during which time we developed -- we develop the technology further into EVT, DVT, I believe we're going to deliver during that three-year period, some dozens of units, maybe even 100 or so. Following that, there's expected to be significant testing by Lockheed's customer in which by the end of that and it could take up to were told it could take up to 2028. So it could take up to a year and half almost. They will compare our customers' product with a different company that is developing a similar missile to compete on this. And we'll choose one or will choose to split between the two. The tens of thousands of units come from what we know and in public information even I can't name it, but the existing products that this is going to replace. And so -- it's not something completely new. This is really a new version of a -- if you would, an existing weapon system. And at the end of it, it would either be Lockheed or the other one or also very, very likely split between the two
Unidentified Analyst: Great. That's good to hear. So what -- for the next question, what are the next steps in getting all of your BD products fully qualified? And what should investors anticipate from a [indiscernible] perspective of – wider adoption over germanium, especially when you're saying that germanium is getting harder and harder to obtain.
Sam Rubin: Yes, absolutely. So the process to validate for manufacturing readiness of our new materials include very, very significant testing of essentially thousands of samples, if you would. That's what Defense Logistics Agency, DLA is essentially bank rolling and what we're working on. There's one key piece of equipment called refractor meter very technical things. Its extremely expensive piece of equipment. I believe there's only two of those in the US to give a sense of just how specialized it is, we're waiting for the delivery of ours. Once it comes, which should be any time in the next 6 week to 8 weeks, I hope, we have already prepared a lot of samples definite and will essentially be tying someone down to a chair next to it, and he doesn't leave until he measured all the sample sort of thing. So we have an enormous amount of samples and materials we've been preparing for many different measurements, but that refractor meter is probably the most important piece of equipment for the measurement and for ongoing quality control of some of those materials later on. This will provide the, I'd say, sort of book of data, if you would, for optical designers showing not only if you give a parameter what is the CTE, The Coefficient of Thermal Expansion to not just provide one number and say it and that's it, but actually provide with it some statistical information showing, this is coming out as a result of measuring its on 150 different samples from 10 different lots produced in different places or in different ways, making sure that we take into account the variability and there's very, very significant statistical data behind it. We're sort of fighting an uphill battle in a way where Germanium and other materials have the history of 60 years of usage. So there's a lot of data out there that all the optical designers know and are based on that is -- comes out of the many, many years of using it. New materials new, obviously and so we want to jump to start the process of it getting embedded into systems by providing a lot of statistical data that otherwise probably people would just wait and work slowly with it until they gain enough -- they turned enough confidence with it. So that, in essence, really what DLA, Defense Logistics Agency, strategic material is financing here. That's a portion of that. It's a very, very well-defined set of data that we already started to collect, but again, the key information reliance on one piece of equipment that we're just waiting for it to arrive. And as a side note on the equipment, we could outsource the measuring. It's very expensive. Nearly the project would cost was nearly the cost of the machine. It would take months. So it'd be longer and more expensive and DLA is funding about half of the machine cost in addition to other expenses.
Unidentified Analyst: All right. Really quickly with Germanium being so hard to get those export licenses. You guys mentioned last quarter that you started selling raw materials to clients who might want that. Do you see maybe an up-tick in demand for those raw materials to replace Germanium that might be hard to obtain? Or am I getting that wrong?
Sam Rubin: Yeah. Not as much as I would hope so. So, we've definitely had some work around that and definitely were definitely seen positively by customers. But I wouldn't say that we have sort of the floodgates opened and someone is buying all our capacity for that its hardly happen.
Unidentified Analyst: All right.
Sam Rubin: But …
Unidentified Analyst: Thanks so much.
Sam Rubin: But I think its sill a correct signal to our customers that just how committed we are to that direction and to those material.
Unidentified Analyst: And to DoD, DLA and NRL.
Sam Rubin: Yes.
Unidentified Analyst: Great. That's it. Thank you.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question-and-answer session. I'd like to turn the floor back over to management, for any closing remarks.
Sam Rubin: Thank you, everyone, for taking the time today to follow LightPath Technologies. We appreciate the trust placed with us by our stakeholders and shareholders of course, and look forward to future calls where we further discuss the fruits of our efforts to retool its business and move the company forward. Thank you. And have a good day.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.